Operator: Good afternoon. Good morning, everyone. Thank you for joining the Ermenegildo Zegna Group Q1 2025 Revenues Call. Please note that today's material and presentation are available under the zegnagroup.com website. Joining us today, the Zegna Group's senior management team, including Gianluca Tagliabue, Group CFO and COO; Paola Durante, Chief of External Relations. Before we begin, we need to point out that the team will make certain forward-looking statements during the call. The group's actual results may be materially different from those expressed or implied by these forward-looking statements. Also, these statements are subject to a number of risks and uncertainties, including those described in our SEC filings. Please refer to the forward-looking statements, cautionary statements included at Page 2 of today's presentation. I will now turn the call over to Paola to begin. Paola, please go ahead.
Paola Durante: Thank you. Thank you, operator. Good morning and good afternoon, everyone, and welcome to our first quarter 2025 revenues call. As anticipated, today's call is led by Gianluca Tagliabue, Group COO and CFO; and by myself. Alice Poggioli, Investor Relations Director, is also here with us. Our CEO, Mr. Gildo Zegna, will attend the July call. I will start this call with a brief comment on our results and then I will leave to Gianluca for a few final remarks before opening the Q&A session. So let's move directly to Page 8 of the presentation, where you find the key highlights of our results. In the first quarter of 2025, the group reported EUR 459 million in revenues compared to EUR 463 million in the first quarter of last year. The revenues were down 1% year-on-year in both reported and organic terms. As of this quarter, organic performance corresponds to constant currency, not having any difference in the perimeter of consolidation. And I remind you that as usual, during the presentation, I will comment on organic performance. Talking about our three brands, Zegna brand Tom Ford Fashion reported solid growth driven by direct-to-consumer channel. At Thom Browne, the positive results from the DTC were balanced by the anticipated ongoing reduction in wholesale. By regions, let me highlight that the Americas remains our best-performing region for all the three brands, followed by APAC. Let's move to Page 9. I will not go into the details in the by segment analysis since I believe it's more useful for you if I focus on the by brand on the next pages. Let me just point out something that I'm sure you know already, but Zegna segment includes revenues from Zegna brand, which drove the performance, the segment performance in the quarter as well as revenues from the textile and other division. So moving now to Page 10, where you find the performance by brand and product line. With EUR 293 million of revenues, Zegna brand continues to show very solid performance. In the quarter, the brand was up 3%, supported by DTC particularly in the EMEA regions and the U.S. Thom Browne reported revenues of EUR 64 million, down 9% organic, as I already mentioned due to ongoing streamlining of the wholesale channel. Tom Ford Fashion recorded revenues of EUR 67 million with a 3% organic growth. This growth has been driven by a very solid DTC channel also supported by the positive impact of Haider Ackermann, first fashion show in March. I remind you that since September last year, Haider is the new traffic director at Tom Ford. Moving now to Textile. Performance of the Textile product line was down 9% and this is largely due to a decrease in global demand from luxury goods brands outside the group. Finally, on the other revenues, marginal comment, but let me underline that the performance -- the positive performance is largely related to different timing in deliveries. So let's now move to Page 11 of the presentation where we present the revenues by geographic area. Starting with EMEA, which in the quarter represented 34% of total revenues and is our largest region. EMEA was down 2% entirely as a result of the decline in Thom Browne mainly in the wholesale channel, Thom Browne wholesale channel, while both Zegna and Tom Ford Fashion continued to grow by sound double digits in the region. The Americas, our second largest region with -- contributed to 27% of total revenues in the quarter recorded a 9% organic growth with strong double growth Zegna brand, particularly in the U.S. market. Let me also anticipate that Zegna is continuing to do well with the Americas, both domestic and travelers and abroad. Moving now to Greater China region. In the quarter generated, this region generated EUR 123 million of revenues and accounted for 27% of the group revenues. The region reported revenues down 12%, a similar trend to Q4 last year. As commented also in our previous call, we continue to have a prudent approach on the region even if we are starting, I have to say, to see some initial proof that our actions are paying off, especially at Zegna brand. At Zegna, in fact we are experiencing ongoing positive reaction to new product launches or to new initiatives as for the recent Zegna switch activations that we just had. I have also underlined that main retail KCIs are moving positive in the region, partially balancing the still ongoing negative trend in traffic that we are all aware. I remind you that for Zegna, the GCR -- most of GCR clients are actually buying locally as I can say and I can anticipate that also the cluster has showed a similar trend to that of the region. And finally, on rest of APAC, which contributed to 12% of Q1 revenues. Rest of APAC reported 8% growth driven by Japan, which has been very solid across the three brands. But also I would underline the Singapore performance, which has been good in the quarter. And so going to Page 12, not much to underline here given that we will go by channel at each brand level. Just a couple of quick remarks. I would like the 5% growth in DTC with positive results across all the brands and the wholesale minus 19%, which as we already said reflects the strategic decision to focus on the DTC channel and the performance of Thom Browne. So let's go now to Page 13, talking about Zegna and analyzing Zegna revenues by distribution channel. In the first quarter of 2025, Zegna DTC revenues grew by 4% and accounted to 86% of the brands -- total brands revenues. Europe, the Middle East and the Americas, in particular the U.S. but also LatAm in reality, all continue to record very solid double digit growth. Revenues from the Greater China region also Zegna were down low double digits, substantially in line with the average of the group and substantially in line with the trend reported in Q4 last year. The brand opened two DOS net during the quarter, including the important Riyadh Solitaire store in Saudi Arabia. Talking about the wholesale at Zegna, wholesale -- Zegna wholesale recorded negative down 2% organic. The performance is actually includes the impact from the conversion of the wholesale stores into concession in the Americas that we already mentioned in previous calls, but also in line with our strategy, a more selective distribution approach on icons, which will continue along the year. And I move now to Thom Browne, Page 14, analyzing revenues by distribution channel at Thom Browne. So for Thom Browne DTC revenues were up 3% organic driven by the contribution of new store openings. By region, I would highlight the good double digit growth in Japan and in Korea for these channels. In the quarter, Thom Browne opened one DOS in -- at Palm Beach in line with our strategy to focus more to reinforce brand knowledge in the important North American market. In the first -- talking about wholesale. In the first 3 months, wholesale was down 48% organic and this is very much in line with the indications that we have provided during our last call at the end of March. This performance has been impacted by 3 factors. The first one and the most important, our decision to reduce volumes in the channel and to focus on DTC distribution, as we already mentioned. The second one, a different timing in deliveries since as we commented in January, we had some early shipment in Q4, thanks to a better production cycle. So we had products ready produced and ready to be delivered. And third, some wholesale shop-in-shop conversion -- wholesale shop-in-shop into retail concessions, mainly in North America. And last page, last comment on Tom Ford Fashion, moving now to Page 15 of the presentation. In the first quarter, Tom Ford Fashion reported a very solid 9% organic growth in DTC. And this is composed the result of strong double digit growth in EMEA and robust performance in the U.S. These numbers also reflect a boost in traffic and in demand, which has been generated by the success of the first fashion show from Haider Ackermann, I've already mentioned, that was took place in Paris on March 5th this year. During the quarter, Tom Ford Fashion opened one DOS in Puerto Banus, Spain. Talking about wholesale. Wholesale was down 8%, largely reflecting both the impact of some wholesale shop-in-shop conversion into retail and the natural slowdown in orders ahead of the launch of new designer collections. I can now hand over to Gianluca for the final remarks. But before doing this, please, on Page 16, you can see the nice facade, a nice store of Zegna in Monte Carlo. Thank you, and I leave it to Gianluca.
Gianluca Tagliabue: Gracia, Paola. Before going to Q&A, let me briefly comment on what our brands have done since we last spoke in late January and on the overall environment, touching some points that I assume will be part of your Q&A. As Paola mentioned, in early April, at Zegna brand, we presented our summer drop collection, which celebrates the unique characteristic of [indiscernible] fabrics, which are not only the best quality, but also 100% traceable and the Moccasin shoe, Moccasin in Italian or actually in the Piermont team dialect, which is where the group comes from, means local. The Moccasin is a new family of formal shoe in the Zegna world. This drop launch was accompanied by a marketing campaign featuring Matt Nicholson, the brand's global ambassador, highlighting Zegna's philosophy of a non-complicated style of life. The response from customers has been extremely positive across all regions on the overall drop, including the Moccasin shoe. At Thom Browne, we recently opened the Palm Beach store as Paola anticipated. Since opening, the results have been good and actually above initial expectations. Of course, it is early to make a final assessment also because the overall environment remains uncertain, but we have been particularly surprised by the response, especially for the womenswear collection. This week, we are also opening Thom Browne store in Los Angeles Melrose Place, another important opening to strengthen the brand presence in the U.S. market. At Tom Ford Fashion in April, we continue to leverage the momentum from the March fall/winter '25 fashion show. We are satisfied with the results of the see now, buy now collection that has been presented in a limited number of Tom Ford stores in the weeks following the show. While we are talking about small numbers, the results are encouraging. As you know, the Ackermann fall/winter '25 collection will hit the stores starting in September. Let me now make a general comment on the topic that has been on top of everybody's agenda over the few -- over the past weeks, U.S. tariffs. First, let me clarify that as our Group I and Chairman also stated in his call, since beginning of April, we have not seen significant changes in the overall demand globally across any of our operations. On the contrary, if anything, we have seen some improvement, particularly at the Zegna brand alongside the launch of the spring/summer '25 products drop, which I believe is more related to the successful launch of the summer drop I just mentioned. And this is true globally, but especially in the U.S. In terms of the impact from 10% increase in tariffs on products imported to the U.S., I want to reaffirm what I'm sure you already know. We will take the necessary actions to protect our EBIT. Within the current scenario of 10% tariff increase for fall/winter '25, we are considering a mid single digit increase in pricing in the U.S. And with this, I will now open the Q&A session.
Operator: [Operator Instructions] Our first question comes from Oliver Chen of TD Cowen.
Oliver Chen: The Zegna Americas numbers continue to be impressive. What's happening geographically in terms of trends you might be seeing? And could you speak to a stronger versus less strong products as well? We've been seeing a ton of market volatility obviously. Are your thoughts that double digit growth can continue? It sounds like you've been really favorable on the momentum. Second question, Haider is quite exciting and commercial and the show was outstanding. So what's the timing on impact that you may have that we should know about as we think about our models? And then finally, just any framework for thinking about that mid single digit price increase with tariffs. And as you think about all these complexities of sourcing, have you made any changes that we should be aware of in this dynamic environment?
Paola Durante: Thank you for your questions. Actually, the second one was not very clear to us, but I will go back after maybe. The first one, of course, there for Gianluca is on the overall performance by regions, I think U.S. with some comments on U.S., but also globally. And the third one is on the pricing.
Gianluca Tagliabue: I don't understand if your question on U.S. was within U.S., if we are seeing specific areas within U.S. So I would say that within U.S., we have not seen areas of softness or stronger performance we have seen on Zegna, especially a strong performance across the board. Of course, New York is the epicenter of everything. So the big numbers come from there. But we have seen good performance in Florida. We have seen good performance in Southern California. We have some [indiscernible] in everywhere. So I think it's on Zegna pretty much spread across the world. As we have seen around the world outside of U.S., we have been pleased by Japan, Singapore. We continue seeing softness within Greater China in Hong Kong. We are very pleased on the Middle East area, Dubai, Abu Dhabi and Continental Europe is performing especially for Zegna and Tom Ford for Zegna and Tom Ford very well. So I think that the areas of weaknesses are still Greater China with a stronger softness in Hong Kong. This is the point of attention. In terms of the third question, which I understood the mid single digit, if we are changing any logic of sourcing, we are definitely not thinking about moving any activities on manufacturing in the U.S. That is not feasible. We are where we are. Most of the production is based in Italy and will stay so. And it's an important part of our reason why. So we are not changing the sourcing strategy according to the tariffs. We will adjust, as I mentioned, prices on fall/winter in that range in order to offset the tariff.
Paola Durante: Can you just repeat the second one? Sorry, Oliver.
Oliver Chen: Yes. On Haider Ackermann, as we look forward, the new product relative to carryover and/or timing of launches that we should be aware of? He has really good momentum.
Paola Durante: Yes.
Gianluca Tagliabue: So the fall/winter products will be delivered starting from end of May. So the big drops will occur from June onwards. But especially also to take advantage of the window of the tariffs so far at 10%, we are pushing as much as possible on deliveries of fall by early July. So -- but the big drops will be, yes, June onwards, we will see the fall coming in and the tail of the fall will be in September. So we'll see more impact in Q2 and the full impact in Q3.
Paola Durante: I would say that an important -- sorry, just to highlight that most of the Haider collections will be effectively installed more into -- going into Q3, the end of Q3, so more August, September, if this was also your question. But of course, all the products that are going to be in store for fall, even if not all design, they have been supervised by --
Gianluca Tagliabue: Edited by.
Paola Durante: -- edited by him.
Gianluca Tagliabue: The first shops will be part will be edited by him and the real design by Haider will be in the second part of the season. So more third quarter than second quarter.
Paola Durante: If you're okay we can move to the second question.
Operator: Of course. Our next question comes from Chris Huang of UBS.
Chris Huang: I have three. The first one, just coming back to the Zegna brand DTC channel, the growth by cluster. If I caught it correctly, I think, Paola, you were making the comment that the Chinese clusters kind of remained in line with the Greater China region around low double digit decline. So if we assume that kind of a low teens decline in line with Q4, if my math is correct, it would imply other regions seeing a little bit of softness as we see for other peers in this sector. So just wanted to understand there, what are the key nationalities that are perhaps moderating, still very strong, but a little bit of moderation. And then secondly, on the EBIT, I think at the previous conference call, you were kind of expecting a low single digit EBIT growth for 2025. Just wanted to kind of check here if there's any change in thinking when it comes to that number. And last but not least, on Tom Ford. Obviously, in Q1, we saw a very strong solid beat at the brand. But as I look into the rest of the years from Q2 to Q4, I think comps are getting a bit tougher. But of course, as you just mentioned, you have the new collections really hitting stores from Q3 onwards. So just really trying to get a sense of your thinking here in terms of if we should expect a sequential acceleration, or should we expect something more stable on a sequential basis?
Paola Durante: Thank you, Chris. Okay. Yes, I'll leave Gianluca to answer on the clusters. But let's say, I can anticipate, we didn't see many differences, but I'll leave Gianluca to comment more.
Gianluca Tagliabue: Taking the answer from a cluster standpoint, but also from a geographical standpoint, we are not seeing -- we are seeing U.S. consumers, both domestic and in travelers, still very solid double digit growth, not different than Q4. Same for Europe, double digit and extremely solid in the Middle East. So we are not seeing actually a slowdown on the clusters other than -- well, other the still low double digit softness on Chinese.
Paola Durante: The second one was on the guidance.
Gianluca Tagliabue: Yes, we confirm the low single digit EBIT guidance that we have declared a few weeks ago. As I said, we are going to offset if there is any cost on the tariff side through the prices and we are not seeing change or inflection in the direction of our performance on the DTC channel. So we are confirming the EBIT low single digit that was in our guidance. Third was?
Paola Durante: For the tougher comps in the second part of the year, if I remember well.
Gianluca Tagliabue: Well, in general, we see Tom Ford as still a early story. So the comp is something that is more meaningful for a mature story. Tom Ford Fashion, we see it as a early stage of a journey. We see untapped opportunities there. Of course, then the second part, we started performing slightly better, but we still see blank space in front of us. Of course, either will be one lever to compete against tougher comp, but we are confident that the journey of the brand is a long-term journey. So we are not worried about having a comp base that is in the second half was more positive, but we are going against it.
Paola Durante: Chris, if you -- I don't know if we answer your questions. So if you have any follow-up.
Chris Huang: Yes. Super clear.
Operator: Our next question comes from Anthony Charchafji of BNP Paribas.
Anthony Charchafji: It's Anthony from BNP Paribas. Just a few additional ones. The first one would be on the Zegna brand DTC 4%. Could you break down just mix, price and volume and maybe share with us if the performance of the Triple Stitch shoe is above or below that number? My second question would be on Thom Browne, the wholesale outlook for the year. So I acknowledge the shift from Q1 to Q4. So maybe we don't take the minus 48%, but let's say, on 6 months out of the minus 30% in wholesale that you have at Thom Browne, could you maybe help us to understand what is due to the rationalization and what is due to the weaker demand from a partner? And just asking because your DTC is up low single digit, but with 30-something more stores. So just to understand the level of brand hit and engagement versus the rationalization at Thom Browne. And my last question would be on Tom Ford. So I noted and it's something a bit rare in luxury that you noticed an increase in traffic since the beginning of March, I assume, so post the fashion show. Again here, I mean, it seems that the DTC trend might be maybe negative on like-for-like without the openings. So can you maybe share with us some retail KPIs for Tom Ford in the retail and also in terms of pricing architecture of the new product, if we should expect more mix benefit or price a bit above what the previous collections are?
Paola Durante: Okay. So three questions always very interesting. Thank you, Anthony. The first one is on the DTC mix price and volumes.
Gianluca Tagliabue: So on Zegna DTC, the major driver in Q1 has been mix within a context where the organic growth is almost entirely comp.
Paola Durante: Yes.
Gianluca Tagliabue: So -- and within that mix is playing the major part. And remember also it was the quarter when we launched the Benezaro [ph]. So there has been a favorable effect from bringing into the floor higher ticket items. So there is mix and within the KPIs of retail AUR, call it, ASP has been one important driver. Triple Stitch is above the average still. So it's on retail. On wholesale, as Paola was mentioning, we are more and more selective in the distribution of icons and Triple Stitch is one of those. And so therefore, volumes of Triple Stitch within the wholesale channel is one of the drivers of our performance...
Paola Durante: Negative impact.
Gianluca Tagliabue: So I think on the Zegna DTC was the first one. On Thom Browne wholesale outlook, I think that if we go beyond the quarters because they have ebbs and flows, if we look at the full year that our outlook is more to stay in the 25%, 30% down compared to 2024 for Thom Browne wholesale. And it's driven by our policy of being more selective in distributing through that channel, which, as you well know, is more exposed to discounting to over-purchase of some items. So we want to be mindful of protecting the brand. So that is the reason of the decline. On the other side, when you look at DTC, just looking at the numbers of stores of increase, you need to be mindful that we have added a lot of small stores.
Paola Durante: Across all the brands, but also for Tom -- yes.
Gianluca Tagliabue: Now we have converted a lot of Nordstrom, a lot of shop-in-shop in Canada [indiscernible]. So the growth of the number of stores is not representative of the growth on a --
Paola Durante: Yes.
Gianluca Tagliabue: -- business stages. Of course, the growth of DTC of Thom Browne is coming from space and on a comp basis is negative, which is not the case, as you were referring on Tom Ford. On Tom Ford, the comp is -- is the line still open? Yes. On Tom Ford, you were referring that the comp was not positive. Actually, the comp of Tom Ford is positive and is a major element of growth on Tom Ford. So the growth -- the 9% DTC growth, the majority of that growth comes from comp and within that you have -- we have all the elements. We have a bit of mix because we are growing more on women. We have --
Paola Durante: Volume.
Gianluca Tagliabue: -- price where we are applying some inflationary price increase. We have volumes because we have seen traffic coming into the stores. On Tom Ford, it's a balanced menu of levers in a context where the comp, not the new openings is the major driver.
Paola Durante: I don't know if we answered all the questions, Anthony.
Anthony Charchafji: It's super helpful. Just maybe the last one on the retail KPIs for Tom Ford and also the new pricing architecture of the new collection at Tom Ford, if there is going to be more mix and prices versus the previous one?
Paola Durante: No, but you are mentioning the new collection from Ackermann, which are not yet in the store as we were saying before. No, the price architecture of Tom Ford is today, let's say, either is offering higher ticket items for sure. So there is going to be because it's not yet in stores, but for sure, there is going to be ticket -- higher ticket item in stores. Women should be more -- not more important, but should grow more than men, something that we haven't seen last year and we are seeing a little bit now, yes, thanks to the halo effect of the show, notwithstanding the fact that the collection designed or oversee by Ackermann is not yet in the stores. So this is -- for sure, there is -- but still the completion of price architecture will be there. So we will have some, let's say, smaller ticket items in the stores as much as growing higher ticket items.
Gianluca Tagliabue: Yes. But we don't see a revolution on the price.
Paola Durante: No. No, no, no. It's not -- absolutely...
Gianluca Tagliabue: Not on the revolution on the price [indiscernible].
Paola Durante: I don't know if that was your question, Anthony.
Anthony Charchafji: Yes. It's perfect.
Operator: Our next question comes from Natasha Banoori.
Natasha Banoori: I've got three. Just a follow-up on the Zegna brand, the growth algorithm. So it was helpful the commentary you gave for Q1, but can you maybe talk about your expectations for price mix and volumes for the year for both Zegna brand and Thom Browne? My second question would just be on the tariffs. Again, it was very helpful the commentary you gave on your planned actions for mid single digit pricing. Can you -- just regarding that, can you tell us how confident you are that all your brands can pass through the mid single digit pricing without offsetting volumes, if that is indeed your plan to do mid single digit across the 3? And then the third question would just be on the EBIT for this year. So obviously, you reiterated low single digit growth in your adjusted EBIT. I think around EUR 185 million, EUR 190 million is where consensus is. Just given the subdued environment, can you tell us maybe a bit more about how you're controlling your OpEx, any cost initiatives that you can mention?
Paola Durante: Thank you, Natasha. First question on the Zegna algorithm for the year, price mix and volume. And I think Natasha, you also asked the same for Thom Browne and Tom Ford to comment.
Gianluca Tagliabue: Yes. On Zegna, I think if we look forward, we expect a balance. Q1 was extremely skewed towards mix. But if we go beyond, we expect the 3 levers to play a role, volumes also through some openings, price through inflationary adjustment. And of course, if there is the need, the tariff adjustment and I come back to the tariff adjustment later on the second question and mix because we are keep on injecting novelties on the upper side of the equation. And we are pushing heavily on exclusive channel sales like the suites that Paola was mentioning or the [indiscernible] that are non-temporary but permanent stores where we celebrate the best of our offering.
Paola Durante: For the [indiscernible].
Gianluca Tagliabue: That will be in Dubai in a few weeks after the fashion show of Zegna in Dubai. So we are pushing on the 3 levers at the same time. In terms of mid single digit increase in the context of the 10% tariff is across the 3 brands. And with this magnitude, we are not expecting a volume that much. I think it's -- in our arena of where we play, I think it's a change in prices that doesn't move the needle in terms of volumes. In terms of low single digit EBIT, yes, behind that lever, we are also considering OpEx on the discretionary expenses, keeping safe everything that is priority, everything that is meaningful for the long-term longevity of the brand. For instance, we have the fashion show in Dubai and we are going doubling down the efforts on the fashion show in Dubai with the Villa Zegna.
Paola Durante: Will cost more than the fashion show in Milano.
Gianluca Tagliabue: Wish we have more. Yes. So while we keep on having whatever is needed for the long-term health of the brand, we are looking on the other side to everything that can be discretionary in a group like ours, we have areas and wiggle room to maneuver, whether it's general expenses, whether it's some hirings, whether -- so there are several levers that you can play with to defend the bottom line without hurting the midterm trajectory of each of the 3 brands.
Paola Durante: I don't know if we answered to all of the 3 questions, Natasha.
Natasha Banoori: Yes.
Paola Durante: So we can move to the next one.
Operator: Our next question comes from Louise Singlehurst of Goldman Sachs. We're not receiving any audio from Louise's line. So we'll move on to the next questioner. The next question is from Daria Nasledysheva of Bank of America.
Daria Nasledysheva: This is Daria from Bank of America. I have 3 quick ones, please. The first one, could you please share your own internal expectation around Greater China across Mainland and also Hong Kong for the remainder of the year? The second one is within Thom Browne, you spoke about full year outlook on wholesale. How should we generally think about wholesale phasing through the year? Are there any particular quarterly one-offs that we should be aware of as well? And if there's anything else that you could comment on wholesale outlook for the other brands for the full year? And then my last one is, if you could just help us understand a little bit what level of organic revenue growth of Zegna do you need to achieve for the full year to have stable margins year-over-year?
Paola Durante: Okay. Thank you, Daria. And -- okay, so on the GCR expectation for 2025, as I said, we continue to have a cautious approach on China and GCR.
Gianluca Tagliabue: To tell you, of course, we put ourselves in a position to be ready to live with Greater China still negative through the year, probably softer negative than Q1. So our implicit forecast to see a negative becoming less deep along the year, that is our assumption, but still negative through the year. That is the underlying expectations that we have in front of us. In terms of wholesale general, we are seeing both Zegna and Tom Ford on the negative side for 2025. And in general, for the 3 brands, we expect that from '26 onwards wholesale channel will not be a major driver of growth, but not anymore a driving factor. So I think that this year is a reset year for the 3 brands. The driver of the negative of Zegna and Tom Ford are, as Paola was mentioning before, of course, some wholesale conversions that have been taking place. For instance, Tom Ford has -- first is the Saks Fifth Avenue on the women or men, Zegna has been converting stores in --
Paola Durante: Canada.
Gianluca Tagliabue: -- [indiscernible] and in Canada. So that is one factor. And the second, and this is very valid for Zegna, our decision to be more and more selective in the distribution of some iconic products because we don't want to compete with our most recognizable items through DTC and wholesale. So...
Paola Durante: And also to be more and more retail-exclusive with some products.
Gianluca Tagliabue: These are products we don't even distribute to wholesale. So the softness of wholesale is driven by these 2 factors.
Paola Durante: For Tom Ford is mainly wholesale -- yes, the conversion. And the third one was which level of organic growth we need to keep the margin stable? I think the question was specifically on Zegna, if I understood well. Let's say, of course, we are working on this one. So I think that here what Gianluca already comment on the fact that we are today confident that the low single digit growth in terms of top line and EBIT is that we have given as a guidance -- not guidance, but let's say, an indications in our March call is something that is today valid. So I would comment to this one.
Daria Nasledysheva: Okay. And can I also confirm on Thom Browne within the year, quarterly wholesale?
Paola Durante: Yes. On the sales Thom Browne, Gianluca, there is...
Gianluca Tagliabue: There is always more ups and downs. So I would stick on the 25%, 30% on the year because on the quarter, really, you can have anticipated deliveries, especially now that we have the deadline of the 10% tariffs by early July. So I would not stick to the quarters for wholesale even more in this environment. So I would stick to a full year guidance that we shared about 25%, 30% down wholesale to Thom Browne.
Paola Durante: Yes. So implicitly, you can assume a little bit less than the 48% we recorded in Q1, but not significantly different this time or a major difference. I don't know if -- sorry, Daria, I don't know if you have any follow-up or if we answered.
Daria Nasledysheva: No, it's all perfect. You answered everything.
Paola Durante: And I don't know if Louise, operator, has been able to connect.
Operator: Yes, of course. We will just attempt to reopen Louise's line.
Louise Singlehurst: I do apologize. I had problems with the audio. Two follow-ups for me, if I could, please. Gianluca, you talked about the very robust performance of the cluster particularly in the U.S. in Q1 and it sounds though that's continuing. I just wonder, given that they have a huge amount of historical information, but if you think back about the Zegna brand specifically when you've had moments of weakening consumer sentiment in terms of your experience and we've talked a lot about OpEx on the call as well. But just in terms of the different scenarios you might be looking at periods of time in history that you can talk to us about in terms of the Zegna DTC? And then my second question was a comment. I think, Paola, you mentioned that the main retail KPIs for China are showing some moments of improvement. Traffic is still very challenged. But I wondered if you could talk about those retail KPIs and what you're seeing in terms of improvement.
Paola Durante: Sorry. Thank you, Louise, and happy that you were able to connect. So the first one, you are asking in the past when we had the slowdown in DTC in Zegna or am I -- yes, in U.S. Yes.
Louise Singlehurst: It's more about trying to understand where you've seen periods in time historically where consumer sentiment has weakened the performance of the brand. Obviously, we haven't seen -- we don't have access to the historical performance. Any color that you can give us? Is it more late cycle [indiscernible] segment under pressure?
Paola Durante: In the past -- yes. I would say that Zegna brand, then I leave to Gianluca that has much more history than myself on the group and on the brand. But I would say that Zegna brand today is very much different from even 5 years ago. So comparison, it is a little bit, I mean, difficult to make right now because the 2 -- even if we are talking about the brand, but the evolution has been very significant, but I'll leave to Gianluca to comment.
Gianluca Tagliabue: Yes. I think that when -- I'm here since 2016, so I've seen some weakness before the rebranding in U.S., but that was very much linked to the Zegna brand that was very centered in formalwear. So with a position that was more conservative and more stiff, if you wish, we used to do bargains and we were exposed more than today to wholesale. So I think that the elements of weaknesses that we suffered from are not there because we are different. We are less wholesale. We don't do bargain anymore. We have totally changed the assortment mix. So...
Paola Durante: And also brand perception.
Gianluca Tagliabue: And the brand perception. So I think it's difficult to extrapolate from historical weakness if we are exposed today because I think we tackled those weaknesses by the turnaround and rebranding of the assortment and distribution footprint. So of course, we can be exposed like everybody to recession risks and the fact that we are seeing today and also in the few weeks of April, we see that our assortment is well-liked. We see that --
Paola Durante: Relationship with customers.
Gianluca Tagliabue: -- relationship with customers is very strong. And when we reach out to them with our clientele with novelties, with the new drops, with content in the new drops, we see traction. And so we were confident that this leaves us in a more resilient environment also within a context that is definitely the macroeconomic, we don't control entirely. So -- but we control our capacity to convince clients and we see in the KPIs that you were mentioning before the question, we are seeing good traction, for instance, in the KPIs that are very much linked to our control, which are -- which offset the traffic and we are seeing good performance in AUR, which is related to our capacity to deliver, selling rates at the high ticket items.
Paola Durante: In particularly in the U.S. I have to say.
Gianluca Tagliabue: Particularly in the U.S.
Paola Durante: And related to this --
Gianluca Tagliabue: Within China.
Paola Durante: Within China. Yes.
Gianluca Tagliabue: We talk about the KPIs where we see good traction in China are those 2, conversion and AUR.
Paola Durante: Yes. In fact, this was the second question. So in terms of KPI, when I mentioned positive retail KPI, I was referring to really AUR, or ASP average selling price and the conversions, which are offsetting the lowest traffic trends. I don't know if we answered, Louise, your questions.
Louise Singlehurst: Very helpful.
Paola Durante: Thank you so much to you. I don't know if you have any follow-up question. We -- I think we are in the 1-hour time frame. So if there is a very last one, otherwise, we can close the call.
Operator: No further questions registered by the telephone lines.
Paola Durante: Okay. So before closing, let me remind you that our next release and conference call will be on July 30 on H1 results. And the selling period will start at the beginning of the month. So thank you, everyone, for participating today. If you have any other clarification, of course, do not hesitate to contact us. Have a nice rest of the day. Thank you. Ciao. Ciao to everybody, and thank you for participating.
Operator: Ladies and gentlemen, this concludes today's call. Thank you for joining. You may now disconnect your lines.